Operator: Good day morning and welcome to CNA's discussion of its 2018 Fourth Quarter Financial Results. CNA's fourth quarter earnings release, presentation and financial supplement were released this morning and are available via its website, www.cna.com. Speaking today will be Dino Robusto, CNA's Chairman and Chief Executive Officer; and James Anderson, CNA's Chief Financial Officer. Following their prepared remarks, we will open the lines for question. Today's call may include forwarding-looking statements and references to non-GAAP financial measures. Any forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made during the call. Information concerning those risks is contained in the earnings release and CNA's most recent 10-K on file with the SEC. In addition, the forward-looking statements speak only as of today, Monday, February 11, ‘19. CNA expressively disclaims any obligation to update or revise any forward-looking statements made during this call. Regarding non-GAAP measures, reconciliations to the most comparable GAAP measures and other information have been provided in the financial supplement. This call is being recorded and webcast. During the next week, the call may be accessed on CNA's Web site. With that, I will turn the call over to CNA's Chairman and CEO, Dino Robusto. Please go ahead, Sir.
Dino Robusto: Thank you, Greg. Good morning everyone. As referenced in our press release and earnings slide this morning, our fourth quarter core loss was driven principally by higher catastrophe losses and a lower limited partnership investment performance. We also had some pressure on our underlying results. I’ll provide some context on each of these drivers in a moment.  But first, I want to highlight that for the full year, we continued to make progress towards our goal of top quartile performance. P&C underwriting profit grew by 22% to 226 million and overall combined ratio of 96.7 and our underlying underwriting profit grew to 315 million, a 12% increase over 2017 as the underlying combined ratio improved slightly to 95.4%. Both specialty and commercial improved their underlying combined ratios by approximately 1 point in 2018; as well we achieved 4% net written premium growth, and are continuing to achieve meaningful rates across our P&C portfolio.  Now back to the fourth quarter, where catastrophe losses of 146 million added 8.6 points to the combined ratio. This compares with 38 million in the prior year fourth quarter, driving a 91 million after tax (inaudible) or $0.33 per share. The losses included 88 million from hurricane Michael and (inaudible) from the California wildfires. Hurricane Michael’s impact was quite unique, and that we only had a relatively small number of losses from the event. Indeed 27 losses generated over 90% of the total (inaudible) though even when effectively managing exposures in a higher cat prone areas as we do, what was essentially a cat 5 hurricane would cost significant damage.  For the full year, the impact was more muted. Catastrophe losses added 3.7 points to the combined ratio, which is only slightly higher than our five year average. The quarter was also materially affected by the investment work performance of our limited partnership in common equity portfolios, which generated a 138 million pretax loss compared with a 50 million gain in the prior year period and after tax difference of $0.52 per share. This loss was big enough to drive the full year results of this portfolio to a loss of 42 million pretax. James will talk more about this in a few minutes.  So in the comparison to the prior periods, these two items alone reduced earnings per share by $0.85. Slide 5 of the earnings presentation provides a detailed walk between the comparative fourth quarter of 2017 and 2018. Turning to the underwriting results, our P&C underlying combined ratio for the fourth quarter of 2018 was 98%, compared with 95.8% a year earlier. The underlying loss ratio was 64.4%, 3.7 points higher than the prior period partially offset by improvement in the expense (inaudible). In the quarter, commercial’s underlying loss ratio (inaudible) points higher than the fourth quarter of 2017. After (inaudible) came from loss activity and half from loss adjustment expense. The increase in loss adjustment expense was driven by (inaudible) expense in our claims department. This expense negatively affected the overall P&C loss ratio by 1 point in the quarter.  In terms of loss activity per commercial in the quarter, we experienced large property losses that were 35 million in excess of our five year average, partially offset by some favorable trends in casualty in the quarter. Based on our postmortem analysis, the underwriting on the property accounts was consistent with our guidelines. So we think it is fair to expect some reversion to a longer term mean much as we experienced following the second quarter of 2017 when I highlighted that large property losses were significantly below the longer term average and subsequently did revert back.  On the last earnings call, I mentioned that we initiated aggressive re-underwriting in the London operation of our international business including the full withdrawal from certain underperforming segments in our Lloyd’s portfolio. In the fourth quarter, international results were negatively affected by elevated property losses and professional liability in our London operations causing the underlying loss ratio to be 14 points higher in the prior years’ fourth quarter. A good portion of the losses this quarter, comes from the areas where we are taking targeted underwriting action which reinforces the decisions made earlier in the year.  As a result of our re-underwriting and reinsurance actions we expect our international premium volumes in 2019 to be down meaningfully, as we returned the underperforming operations within international to profitability. Indeed in January of this year, our international net written premium decreased nearly 15% from January 2018. Coming now to production I’ll give you some details. In terms of growth, P &C gross return premium excluding the large warranty captive grew 6% in the fourth quarter, with net written premium up 4%.  For the full year, P&C gross written premium grew 7% and net premium grew 4%. Rate in the quarter continued to show positive momentum increasing a plus 3% for P&C overall, compared with plus 2 in the first quarter. Commercial generated two points of rate in the fourth quarter, while commercial excluding workers comp was plus 4%, up one point compared with the third quarter. Specialty generated two points while international achieved five points of rate.  For the full year, rate for P&C overall was plus 2%, up from flat in 2017 with increased rate achievement in all three of our business segments. For the year, we had particularly good progress in commercial ex work comp in which rate was up 3% compared with 1% in 2017. As we move in to 2019, rate in January was slightly better than what we achieved in the fourth quarter for commercial ex work comp and specialty overall up more than 4%.  Rental premium change was about approximately 3.5% on an earned basis for both the fourth quarter and the full year 2018, which exceeds our long run loss cost trends. Retention was 82% in the fourth quarter, down a point from the third quarter. New business was down 7% in the fourth quarter, coming up a very strong 25% growth in last year’s fourth quarter. Despite the fall off in Q4 on a full year basis, new business was up 13% over the prior year. Importantly, our highly profitable specialty segment achieved new business growth of 46%.  In international, new business was up 12% for the full year with over half of the increase coming from our Canadian operation which has generated strong profitability over many years. As a result, I continue to be pleased of one of the key tenants of our underwriting strategy, just getting access to high quality new business.  To summarize, over the past two years I’ve talked to you extensively about our journey to get to our combined ratio to be top quartile on a sustained basis. We have made significant progress in both 2017 and 2018 and our results in each of the past two years reflect that progress. As per the fourth quarter performance, we clearly see it as an outlier. Indeed in the first three quarters of 2018, the P&C underlying loss ratio was 60.8%, which is top quartile performance. The full year underlying loss ratio of 61.8 is also a strong result.  And as I mentioned, we don’t expect property losses to stay at fourth quarter levels. Moreover our underlying (inaudible) international, although the smaller part of the business will have a positive impact going forward. Also our ability to drive rate increases across our three business units should help margin as our long run loss cost trends are still relatively stable and benign. Combined that with an increasingly disciplined expense culture within the company as evidenced by our 33.2% expense ratio in the fourth quarter, which is 0.5 better than the prior years’ quarter and we feel very good about our trajectory to top quartile P&C performance.  Finally, our long term care business is on solid footing and continues to perform as expected. And so with that we’re pleased to announce our regular quarterly dividend of $0.35 per share along with a $2 per share special dividend. And now, I’ll turn it over to James.
James Anderson: Thanks Dino, and good morning everyone. Our property and casualty operations produced a pre-tax underwriting loss of 92 million in the fourth quarter, driven by elevated catastrophe activities. For the full year, underwriting profit was 226 million, a 26% increase over 2017. Our P&C expense ratio improved at 33.2% in the fourth quarter and is in line with our current run rate. For the full year, our expense ratio was also 33.2% or one point lower than 2017 with approximately half of the improvement coming from each of premium growth and reduced expenses.  Prior period development was favorable 1.2 points in the quarter and 2.4 points for the full year. These results reflect the outcomes of the reserve studies completed in the fourth quarter and our reserve position remained strong. Our specialty segments had 3.7 points of favorable development in the quarter and 5.5 points for the full year. Both commercials’ and international’s prior year development was negligible on both the fourth quarter and the full year.  Moving to each of our individual P&C segment; specialty’s’ underlying combined ratio for the fourth quarter was 94.3%, a slight improvement from the fourth quarter of 2017. Specialty’s overall combined ratio for the quarter was 91.2% including favorable development primarily in exited years 2015 and 2016, driven by both surety and professional liability.  For the year, specialty’s underlying combined ratio was 92.7% or more than a full point of improvement compared with 2017. Specialty’s overall combined ratio for the year was 88.2%. While specialty’s fourth quarter rate rounded to 2% as it did in the third quarter, there was actually a slight quarter-over-quarter improvement as we achieved higher rate in both healthcare and in our financial institutions businesses. In January, specialty’s rate is higher than the fourth quarter level. Our commercial segments’ underlying combined ratio for the fourth quarter was 96.9%. The underlying loss ratio of 63.9% was driven by property losses and loss adjustment expenses as Dino described. The fourth quarter overall combined ratio in commercial was 113.3% including nearly 16 points of catastrophe losses. For the year, commercial’s underlying combined ratio was 95% nearly a point better than the full year 2017. Commercial’s full year overall combined ratio was 101.1% or more than 1.5 points better than 2017. Commercial’s fourth quarter rate ex workers comp improved 4% with commercial auto getting 7% and property 4%. In January, these levels were even stronger with auto at 8% and property getting 5%.  Our international segment generated a combined ratio of 119.5% in the fourth quarter, driven by large property losses and professional liability in the London market. For the full year, international’s combined ratio was 106.5%, and in the fourth quarter International achieved rate of 5% compared with 4% in the third quarter. Our Life & Group segment produced $7 million of core income compared with $31 million in the fourth quarter of 2017. The prior year quarter included 27 million after tax from a favorable claim reserve review  You’ll recall that this year the claim reserve review was done in the third quarter and resulted in a favorable 24 million after (inaudible) tax, driving difference of $0.09 compared with the prior year period. For the full year, Life & Group produced 43 million of core income, compared with 50 million in 2017, two very good years for this segment. Long term care morbidity experience continued to be consistent with our reserve assumptions, while persistency remained favorable. Our corporate segment produced a core loss of 46 million in the fourth quarter, this loss was driven by our asbestos and environmental reserve review of 2018. We’ve historically concluded this review in the first quarter of each year, but as I mentioned on last quarter’s call, this now gets us on to our fourth quarter schedule going forward. The result of this review was a non-economic after tax charge of $28 million, driving a difference of $0.14 per share compared with a corporate segments result in the prior year period.  For the year-over-year comparison of Life & Group and the corporate segment combined was down $0.23 in the fourth quarter due to timing changes of reserve reviews in each. Pretax net investment income was 334 million in the fourth quarter, compared with 505 million in the prior year quarter. This change was driven by a limited partnership in common equity portfolios which produced a pretax loss of 138 million, a negative 5.7% return compared to a $50 million gain last year.  For an LP portfolio constructed with two-thirds of its assets and hedge funds with a long bias is not a terribly surprising result in a quarter in which the S&P 500 index was down 14%. Nonetheless, given this volatility and the fact that some of the funds have not performed as expected over the last several years, we are going to take actions to reduce our hedge fund exposure in 2019. Pretax income from our fixed income (inaudible) portfolio was 456 million this quarter, which was slightly higher than the prior year’s quarter. The pretax effective yield on the fixed income portfolio was 4.8% in the quarter, again slightly than in prior periods. Fixed income assets to support our P&C liabilities had an effective duration of 4.4 years at quarter end in line with portfolio targets. The effective duration on our fixed income assets to support our Life & Group liabilities was 8.4 years at year and.  Our balance sheet continues to be extremely strong, at December 31, 2018 shareholders’ equity was at 11.2 billion or $41.32 per share down from year-end 2017 due to a decrease in our unrealized gain position as investment yields have increased. Shareholders’ equity excluding accumulated other comprehensive income was 12.1 billion or $44.55 per share, an increase of 6% from year-end 2017 when adjusted for the $3.30 of dividends per share paid during the year. Our investment portfolio’s net unrealized gain was 1.5 billion at year end.  In the fourth quarter, operating cash flows was 359 million. We continue to maintain a very conservative capital structure and all our capital adequacy and credit (inaudible) are well above our internal targets in current ratings.  With that I’ll turn it back to Dino. 
Dino Robusto: Thanks James. Before we move to the question-and-answer portion of the call, let me leave you with some summary thoughts on the years’ performance. The full year underlying combined ratio of 95.4% improved for the second straight year and is the best in a decade. We had net written premium growth of 4% for the year. We had 2.5 points of favorable prior period loss development and remained confident in our reserve position. I am encouraged by our pricing trajectory in recent quarters and based on what we have seen in January, I’m optimistic that we can continue to drive rates above long run lost cost trends.  Our long term care business maintained positive margin in the Active Life Reserves, even as we move to more conservative reserving assumptions. We increased our regular quarterly dividend during the year to $0.35 per share and we once again declared a special dividend of $2 per share. And with that we’ll be glad to take your questions. 
Operator: [Operator Instructions] And first from Deutsche Bank we’ll hear from Josh Shanker.
Josh Shanker: I’d like to hear a little bit, now you said you’re arms from hedge funds and what not. Can we talk a little bit about what you think the right investment philosophy is with your non-traditional investments, and is the problem that you won’t investment but you’ll invest in the wrong hedge funds? Is this a little kind of change about how you view your strategy for those types of assets?
Dino Robusto: As I mentioned, we are going to reduce our exposure to hedge funds. Really when you look at that portfolio, it is heavily tied to the equity markets for better or worse. And we have two-thirds of it in hedge funds, the third that’s in private equity has performed very well and has had much less volatility. I think it’s less about the amount or the hedge funds that you pick and more about the exposure that you have directly to the equity markets the way that that portfolio has been constructed. So we’re going to shift that mix going forward to have less of it in hedge funds, more of it in private equity as well as more in our parts of fixed income portfolio. 
Josh Shanker: And does that achieve something in relationship to your underwriting? Is there a holistic view about what you should be trying to do on the investment side versus what you should be trying to do on the underwritten side?
Dino Robusto: Yes, clearly we’re looking at our risk portfolio across (inaudible) and we want to ensure that we’re not taking too much risk on the investment side as we continue to grow our business on the underwriting side. So we are looking across the overall risk tolerance to ensure that we’re putting our risk just where we think we have the best performance. 
Josh Shanker: And we try and model out the volatility associated with the announcements, so obviously there’s been a big rebound quarters date in the markets. I’m not sure how to think about that, and as you pull down from these exposures, is that a one year or a two year situation and how quickly does that change the volatility associated with the investment portfolio overall?
Dino Robusto: This reshuffling will take the full year as we do redemptions at different gating time periods for different funds. So it’s not something that you do all at once. We have experienced in January the rebound, so we are seeing that in the portfolio. And you’ll see as you monitor and as we talk, as we go quarter-by-quarter how that asset is going to shift over that time period?
Operator: Our next question will comes from Jay Cohen with Bank of America Merrill Lynch. 
Jay Cohen: Starting with the International side, I wanted to hear more about the higher liability cost in the quarter. Was there essentially some current year catchup in booking that loss ratio?
Dino Robusto: So, the professional liability in the quarters related to – were architects and engineer and contractors, professional liability portfolio. Based on the loss activity, in the quarter we did a postmortem and we’re going to adjust some terms and conditions on some of the accounts in the book in international and if we get it what we need pricing deductible till we get what we need at renewal that will be good. If we don’t, we’ll get off of those accounts and there’s really nothing more significant than that. And truthfully Jay we should know and we do know because as you may know we have a very large architects and engineer experience and exposure here in the United States. We’ve had it for decades, we’ve made a lot of underwriting profit, we’ve got underwriting talent, we’ve got claims and risk insurance talent. So we know how to look at this portfolio, we know what we need to do on the accounts on the international and we’ve already started and, if we get it, good, and if we don’t get it, then we’ll not renew those accounts. So that’s it, it’s not really more significant than that, but it affected the fourth quarter at a time when other things that affected the quarter. 
Jay Cohen: But on this liability basis, it basically was like, for the full year you’re booking, in other words, you’re kind of restating to some extent the first three quarters of that business?
Dino Robusto: To a certain extent, yes, but clearly the exposure was something more in the latter part of the year, without a doubt. 
Jay Cohen: Secondly, internationally, if you’re cutting the premiums they way you expect to drive profitability, should we expect to see some expense cuts in that business as well? 
Dino Robusto: Yes, definitely. So, I think if you take a look at the lines of business that we’re exiting and that we talked about in the third quarter, you’re probably looking at about it representing somewhere between 10% and 15% of the international premium. So obviously we’re going to deal with expenses accordingly. We’re going to continue to grow the rest of it and our targeted markets even in the London operation, but clearly our Canadian operation and other profitable parts of it, it’s not going to offset, we don’t expect it to offset the decrease. So, we will content with the expenses and we already have started to content with them. So clearly we would do that. 
James Anderson: And Jay I’ll just add on that. We wouldn’t expect that our overall expense ratio in 2019 would be affected by what’s happening in the international. 
Jay Cohen: Last question, the expense ratio in the fourth quarter, did it benefit at all by a lower level bonus accruals just because of the profit challenges in the fourth quarter?
Dino Robusto: It did not, no. And in fact if you look at our specialty business as an example, they had an 88% combined ratio for the year and their expense ratio was slightly higher as a result of that. 
Operator: And next we’ll hear from Meyer Shields with KBW. 
Meyer Shields: It looks like we’ve got a bit of a sequential slowdown in reserve releases? Just wondering whether that is all connected to say the - we’re seeing the professional liability experience or some of their underlying talent?
Dino Robusto: It was actually not. We have a long history of having favorable reserve development overtime, and the quantum varies from time to time. We look at different products every quarter, we make reserve release decision based on the movements on those quarterly reserves. So you really shouldn’t expect any kind of a trend in reserve development, whether its quarter-to-quarter or year-to-year, just now how it works.  We feel very comfortable as I mentioned about our reserve position and really in all three of the segments. Specialty for the year had 5.5 points of favorable development, that’s down from 2017 7.7 points, but still very robust outcome. International was essentially flat for the year, commercial was essentially flat for the year. Both had pluses and minuses inside. So I would look at any of those trends no matter what segment you’re looking at and suggest that there’s going to be some trend going forward as a result of either quarter-over-quarter or year-over-year period. 
Meyer Shields: And I was hoping that you could talk a little bit about planned reinsurance purchases over the course of the year?
Dino Robusto: What I would just say is that, and you can see it, we’ve talked about it in the quarters, we are purchasing some additional reinsurance where we think it makes some sense to continue to help with volatility. And we’ll continue to take a look at reinsurance through the course of the year, and if we can find something we think is going to help the risk return profile of the portfolio, then we would continue to consider it and we’ll see how that plays out. But clearly, we’re using reinsurance more actively than C&A has in the past clearly over the last two years. And that’s the right thing to do based on the reinsurance market and the opportunities and the pricing out there. And the good news is that when we do approach them, they’re comfortable with how we look at business and the quality of the underwriting talent and we feel we get access to great terms and conditions. So that’s a good thing and so we’ll continue to monitor it during the course of the year and then happy to talk about it. 
Operator: [Audio gap ]
Dino Robusto: First of all, I think, believe in this sort of latest estimates about somewhere between 15 billion and 20 billion for California wildfires to 47 million, it’s not an outside loss. Having said that, there are a couple of accounts where when you think about it, you say look, we want to be a little bit more careful or we want to watch your limits profile in certain geographies in the camp area etcetera. And so we’ll make some tweaks to our underwriting, we should and we always do. But there isn’t any big sort of wholesale change that we’re look at in the California wildfires both this year and last year. I think relatively not outside losses for what the industry was, but there are things we learn and we act upon it. We act always upon every catastrophe situation. 
Unidentified Analyst : I know, I was not outsizing in the context of the industry, but I’m just thinking in context of you not really writing home owners insurance where most of the loss was, and so this is all commercial or smaller commercial. It seems like it was maybe a little bigger than you might have thought. 
Dino Robusto: I can understand clearly that the wildfires impact the home owners more. We didn’t look at it as an outsize the postmortem, it’s just a function of some that we did, and we always do and there is some learning that we’ve already embedded in our underwriting guidelines, but I didn’t want to suggest any such change. When you look at our market share commercially and in California vis-à-vis the overall, now, wildfires are a little bit trickier, they use market share, but nevertheless. So, some things are there to be learnt.
Unidentified Analyst : And I wanted to ask about loss trends also, you mentioned a couple of times they remain benign and so they’ll get rate above loss trends. Can you give us any sense of what’s going on with the loss trends right now?
Dino Robusto: Gary, I would say our loss trends certainly from the third quarter really haven’t much. What we’re seeing in many cases benign certainly and when we look at workers comp, we’re still benign frequency, although it’s not quite as negative as it was a couple of years ago. We’re not seeking severity come back in to that (inaudible) yet. So overall our loss trends are pretty stable. 
James Anderson: And Gary, if the rate increases persists, then that’s a good thing Gary. The question is what are they going to be 12 months from now and we don’t really know that. But what we do know is we’re clearly more optimistic today on pricing vis-à-vis the loss cost trends than we were 12 months ago. 
Unidentified Analyst : If I could just do one more, I believe a lot of your hedge funds are a real time or may be a large chunk of them? And I was just wondering as if – whether that’s true and are there some that may be a month lag or there might be a little bit more to come in the first quarter?
Dino Robusto: Gary the vast majority of our hedge funds are real time. We do have a few that are on a one month lag, but I’ll tell you even in the January performance we had a couple come in negative as a result of that. But the vast majority are very positive just with the market movements that we’ve seen. 
Operator: [Operator Instructions] We’ll move on to a follow-up with Josh Shanker with Deutsche Bank. 
Josh Shanker: I think it’s your three year anniversary that passed recently. I don’t know if ever things are part of a one year, two year, three year plan, but obviously a lot of improvements been made. It’s hard though for us to see what improvement’s been made in international? Are we three years in to the plan, is there more work there? What should we look for as evidence that international stay in the right direction?
Dino Robusto: So Josh just a point of clarification, I just came up on my two year anniversary. I’m not entirely sure what it means that it still three years to you, hopefully that’s a positive. But it’s only been two years. And you fall on the CNA over the years, the international portfolio (inaudible) and operation in particular. It’s had a lot of volatility and the reality is – and it’s all over the insurance wires etcetera. Lloyd’s has continued to be in the top situation, and the reality is that it became clear to me going in to my second year as we looked at international in 2018 that I couldn’t foresee terms and conditions changing that we were going to be able to turn some of these lines of business that we exited or that we’re going to be exiting, you know or be able to turn them around. And so the reality is, we just said, look just make the decision and get rid of them, because you can’t see a turnaround in the foreseeable future.  So, I think it always make a different when you get out of them. So we’re getting out of property treaty, we’re getting out of marine hull, we’re getting out of first party large construction and engineering, we’ve put our political risk in to run-off. And so the way we look at that is, you can see what kind of loss activity goes in lines we’re generating and so you can estimate on a pro forma basis what that can do to your portfolio as it plays out, and it’s going to play out in 2019. And truthfully if it does, it could have as much a one point improvement on the loss ratio in P&C.  So there is a distinction Josh, I mean a totally fair question. There’s a distinction between some trying to change terms and conditions versus exiting the lines of business and just doing what you have to do, taking the hits on the premium (inaudible) with the expenses and then moving most of your international operations going forward in to those target segments where we do make a little bit more margin. So you have to take the tough decision we took in the third quarter. We had done a very thoughtful analysis in the two quarters before that going in to 2018 and you’re going to see it play out in 2019. So I hope that gives you a little bit of clarity on the international.
Josh Shanker: What does that mean for premium volume?
Dino Robusto: Now those are going to represent some more between about 10% and 15% of the international premium, and as I said in my prepared remarks that the reality is, if you exit that we’re going to continue to rise in our target market segment even in the London operation. But clearly we’re going to continue to grow Canada, we’re going to continue to grow parts of Europe and the UK that have traditionally been more profitable for us. So it will offset some of the 10% to 15%. As I indicated Josh, I don’t think it’s going to offset the full amount. So the expectation would be a negative growth number less than obviously what we are exiting for 2019. And look every quarter that goes by, we’ll know more and more to see how it’s impacting it and we’ll talk more about it. 
Operator: And moving on from Lincoln Square we have Sam Hoffman. 
Sam Hoffman: I just had one question, can you explain the causes for the large property losses as it affected the underlying loss ratio in the quarter?
Dino Robusto: As I indicated, the large property losses, we quantify them for you, we look at sort of a longer term average, it’s about 35 million mainly fire losses. So what we do is a postmortem on them to make sure that there’s nothing within the guideline, anything we have to change the guide lines. And in these particular activities, there wasn’t anything and so hence why I think it is fair to at some level to assume some reversion too. I mean as I said in my prepared remarks, second quarter of ’17 I was in the opposite position and I clearly said on the call that some of that’s luck (inaudible) the other way. So the fire losses are what happens and there was nothing either more significant than that. 
Sam Hoffman: It’s seems like this is something that’s been affecting the entire industry over the course of the last year or so. But if you can pinpoint anything that’s unusual if it sounds like?
Dino Robusto: All I can say is that when you start to see things that are a little bit broader across the industry, what you’re to a certain extent looking at is you probably just need more pricing also in that line of business. And notwithstanding my comments about a reversion to some mean, the reality is we got to push for more pricing on property. So if you look at the second quarter we were getting two points already, in the third quarter we got three points, in the fourth quarter we got four points. In January, so far we’re at five points, and to a certain extent that is part of the solution also going forward. When you see it broader than one company as you have seen it affecting multiple companies. If you understand the point I’m making there. 
Sam Hoffman: But there’s no way to pinpoint the underlying cause, it just happens to be happening at this point?
Dino Robusto: Yes. And so try to mitigate it going forward with pricing. 
Operator: And it looks like that does conclude today’s Q&A session. I’d like to turn the floor back to CNA’s Chairman and CEO, Dino Robusto for any additional or closing remarks. 
Dino Robusto: Thank you everyone, and thank you for your questions, and we’ll talk to you in a quarter. 
Operator: And once again ladies and gentlemen that concludes our call for today. We thank you for joining us. You may now disconnect.